Operator: Good day and thank you for standing by. Welcome to Q4 2022 Brady Corporation Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Ann Thornton. Please go ahead.
Ann Thornton: Thank you. Good morning, and welcome to the Brady Corporation fiscal '22 fourth quarter earnings conference call. The slides for this morning's call are located on our website at www.bradycorp.com/investors. We will begin our prepared remarks on Slide number three. Please note that during this call, we may make comments about forward-looking information. Words such as expect, will, may, believe, forecast and anticipate are just a few examples of words identifying a forward-looking statement. It's important to note that forward-looking information is subject to various risk factors and uncertainties and which could significantly impact expected results. Risk factors were noted in our news release and in Brady's fiscal '22 Form 10-K, which was filed with the SEC this morning. Also, please note that this teleconference is copyrighted by Brady Corporation and may not be rebroadcast without the consent of Brady. We will be recording this call and broadcasting it on the Internet. As such, your participation in the Q&A session will constitute your consent to being recorded. I'll now turn the call over to Brady's President and Chief Executive Officer, Russell Shaller. Russell?
Russell Shaller: Thank you, Ann. Good morning, everyone and thank you for joining us. This morning we released our fiscal 2022 fourth quarter financial results, which was another quarter of strong organic sales growth and record earnings per share. I'm proud of how the entire Brady team worked through this challenging macro environment all the while delivering for both our customers and our shareholders. Organic sales grew 9% this quarter, we increased GAAP earnings per share by 53% and we increased the non-GAAP earnings per share by 16%. This quarter was a great end to an outstanding year. Our full year GAAP EPS of 290 was an all-time record high and our non-GAAP EPS of 3.15 was also an all-time record high. For the full year, we grew organic sales by 9.4%, which was our highest organic growth rate in more than two decades. We performed well in our ID Solutions business and made nice progress moving a portion of our portfolio into faster growing end markets with cyclical tailwinds. We also finished the year with positive momentum in our WPS business. Our segment profit increased to 13.2% of sales in Q4. This is a great improvement over the first half of our fiscal year. And we returned more than 155 million to our shareholders in the form of dividends and buybacks. And we still finished the year in net cash position. We're proud of what we've accomplished at Brady, we've had strong organic sales growth over the last several years. And we now have businesses that are growing in excess of GDP, with innovative new products in an highly engaged professionals that should enable us to continue to grow in excess of GDP for years to come. As we look ahead, our priorities remain clear. First and foremost is to continue our evolution in a faster growing company. We are definitely on track to achieve this goal. Second is to improve our capabilities to enable our customers automation initiatives, where we believe there will be a tailwind for years to come. Third is to take necessary pricing and efficiency actions to offset the impact of this inflationary environment, all while ensuring that we have the products available to meet customer demands, and that we're providing the best possible customer service. And finally to effectively deploy our capital in order to drive long-term shareholder value, which would include organic investments, acquisitions and returning funds to our shareholders. We demonstrated our commitment to returning funds to our shareholders this year, as we repurchased more than 4.4% of our total diluted share count. And yesterday we announced an increase to our dividend which represents the 37th consecutive year of dividend increases. As you can see, from our guidance, we expect fiscal 2023 to be another all-time record earnings per share year for Brady. And we're confident that we have the positive momentum to make this happen. Of course, what we can't control is the global economy much like many of you, we also have concerns about headwinds from energy prices in Europe to the highest U.S. inflation in four years, we are definitely living in challenging times. Although I can't tell you where the economy is headed, I can assure you that Brady is well positioned to adapt to economic uncertainties. I'll now turn the call over to Aaron to provide more details on our financial results. Then I'll return to provide specific commentary about our identification solutions and workplace safety businesses. Aaron?
Aaron Pearce: Thank you, Russell, and good morning, everyone. This quarter, we once again had very strong sales growth. We also increased our gross profit margins, or reducing our SG&A expense as a percent of sales to pull strong earnings growth and GAAP EPS of $0.81. Non-GAAP EPS, which is calculated as our GAAP EPS less the after-tax impact of amortization expense was $0.87. Each of our two divisions performed very well. IDS grew segment profit by 18.4%, while WPS increased segment profit by more than 65% this quarter. And as Russell mentioned, we took advantage of the market pullback last quarter, and repurchased another 535,000 shares, bringing our total shares purchased in fiscal 2022 to more than 2.3 million. So the key financial takeaways this quarter are strong revenue growth, record EPS, strong performance in each of our two divisions and a continued commitment to returning funds to our shareholders. Let's move to slide number four for our quarterly sales trends. Our 5.8% sales increase consisted of growth from acquisitions of 2.5% and organic growth of 9%. Organic sales grew in each of our two segments but with the recent strengthening of the U.S. dollar, especially against the euro foreign currency translation reduced total company sales by 5.7%. The impact of foreign currency reduced IDS sales by 4.5% and reduced WPS sales by 9%. The reason for the outsized foreign currency impact on WPS is because more than half of WPS sales are in Western Europe. Even with the significant foreign currency challenge, our WPS business still performed quite well this quarter. Please turn to Slide number five for our gross profit margin trending. Our gross profit margin increased 220 basis points to 50.4% compared to 48.2% in the fourth quarter of last year. This improvement over the prior year was a direct result of increased sales volumes, pricing actions, a reduction in the use of air freight and the many efficiency actions that we've been driving throughout our manufacturing facilities. However, we continue to experience scarce labor in certain geographies, including the U.S., and we're seeing inflationary pressures continue across many different cost categories, from shipping costs to raw material costs, and everything in between and the supply chain continues to be challenged, especially for critical components from Asia. Although we're using less airfreight at this point, we've seen few tangible signs of reduced inflation. Price increases partially offset this inflation and helped us improve our gross profit margins. This quarter we realized approximately 5.1% sales growth from pricing. On Slide number six, you'll find our SG&A expense trending. SG&A was 94.5 million this quarter, compared to 93.7 million in the fourth quarter of last year, as a percent of sales SG&A was 29.2% compared to 30.6% in the fourth quarter of last year. If you exclude amortization expense, and last year's acquisition related charges then SG&A would have declined from 28.6% of sales in Q4 of last year to 28.0% of sales this quarter. Overall, we're making nice progress, as we've reduced our SG&A expense from over 36% of sales just a half dozen years ago to 29% today. However, we've been increasing selling resources, and we're certainly feeling in freight inflationary pressures in SG&A as well. Going forward, we'll continue to identify efficiency opportunities throughout SG&A. Slide number seven is the trending of our investments in research and development. This quarter we invested 15.8 million in R&D, which equates to about 4.9% of sales. We believe that the investments with the best ROI are almost always organic investments, such as those we're making in research and development to drive new product launches. As such we remain committed to new product development as we continue to see opportunities across our businesses, including building out a comprehensive industrial track and trace platform that encompasses our printers, high-quality materials, RFID scanners and barcode scanners. Slide number eight illustrates our pre-tax income trends, Pre-tax earnings increased 29.7% on a GAAP basis. In order to compare against Q4 of last year, we need to adjust for the one-off items in the prior year. First off, there was a large increase in amortization expense from the three acquisitions completed last year plus in Q4 of last year, we incurred a number of one-time charges to complete these acquisitions. If you exclude these prior year charges and exclude amortization expense from both the current year and the prior year, then our non-GAAP pre-tax earnings would have increased by 19.2%, increasing from 48.4 million in Q4 of F'21 to 57.7 million this quarter. Slide number nine illustrates earnings and EPS on an after-tax basis. GAAP diluted EPS increased by 52.8% this quarter. And if you exclude the after-tax impacts of last year's one-off items and amortization expense, then our EPS would have increased by 16% this quarter. On Slide number 10, you'll find a summary of our cash generation. This quarter, we continued to increase our inventory levels while to support our increased sales volumes, as well as to ensure that we can support our customers in the event of further supply chain challenges. Cash flow from operating activities was 53.2 million this quarter. We also incurred higher than normal CapEx, as we spent nearly 18 million on two new facilities 8 million in Belgium where we're constructing a new facility and the remaining 10 million on the purchase of a strategic manufacturing facility in Southeast Asia. Looking into next year, we expect to accelerate the timing of our annual employee bonus payments, effectively moving the payments from Q2 to Q1. As such, we expect our first quarter cash generation to appear weaker than normal, and our second quarter cash generation to be stronger than you would normally expect to see all due to this timing item. Now if you turn to Slide number 11, you can see the impact that Brady's historically strong cash generation has had on our balance sheet. Even after stepping up our share buybacks and building up inventories to ensure that we're poised to meet future customer demand, on July 31, we were still in a net cash position of $19.1 million. Our approach to capital allocation is to first and foremost use our cash to fully fund organic sales and efficiency opportunities. This includes investing in new product development, sales generating resources, capability enhancing capital expenditures, and automation focused CapEx. We will absolutely keep funding these investments where it makes sense and where the investments are ROI positive. And second, we focused on consistently increasing our dividends. We've increased our dividend every year since going public. After fully funding organic investments and dividends, we then deploy our cash in a disciplined manner for either acquisitions, where we have strong synergistic opportunities, or for buybacks in a highly opportunistic manner, when we see a disconnect between intrinsic value and Brady's trading price. Our strong balance sheet positions as well to execute additional value enhancing activities, including investing in R&D, completing additional acquisitions and returning funds to our shareholders. Slide number 12 provides an overview of our financial results for the full year ended July 31, 2022. Overall, sales increased 13.7% and organic sales grew 9.4%. This strong organic sales growth was a result of the recovery coming out of the pandemic combined with the benefits from the investments we've been making in innovation, and a 3.7% annual impact from pricing. We finished fiscal 2022 with all time high GAAP and non-GAAP EPS. And the strong earnings were after we increased R&D spend by 31.4% this year. So fiscal 2022 was a record EPS year and our fourth quarter was the strongest quarter of the year. As we look to the future, we're confident that the actions we've taken set us up for success, which takes us to our guidance for next year on Slide number 13. We're forecasting diluted earnings per share excluding amortization, to range from $3.30 to $3.60 per share, which equates to a GAAP EPS range of $3.13 to $3.43 per share for the fiscal year ending July 31, 2023. This implies that we expect GAAP EPS to improve somewhere in the range of 7.9% to 18.3% and we expect non-GAAP EPS to improve between 4.8% and 14.3% in fiscal 2023. We also anticipate organic sales growth in the mid to high single digit percentages for the year ending July 31, 2023 and based on foreign currency exchange rates as of July 31, we expect the strengthening of the U.S. dollar to reduce fiscal 23 sales by approximately 3.5%. And we also expect foreign currency to reduce F'23 EPS by between $0.15 and $0.18 per share. Other elements of our guidance include an income tax rate of approximately 20%, depreciation and amortization expense of approximately 32 million to 34 million, and capital expenditures of approximately 32 million, which is inclusive of facility construction costs of approximately $10 million. This guidance range is a bit wider than we would typically announced, which is a result of the many macro uncertainties that we're facing today. We'll continue to make the investments necessary to drive organic sales growth. We will continue to search for acquisitions that advance our strategies and will continue to drive sustainable efficiency gains while being tight on non-revenue generating expenses. As for capital allocation, we don't foresee any major changes in our capital allocation strategy. We'll keep investing in our business, we just mentioned our dividend increase for fiscal '23 and we'll be opportunistic with buybacks while looking for acquisitions where the price is right. And the strategic fit is clear. We have a strong balance sheet and we'll use it as a tool to drive long-term shareholder value. Potential risks to this guidance, among others, include further strengthening of the U.S. dollar, worsening logistics that don't allow us to meet our commitments to our customers, inflationary pressures that we can't offset in a timely enough manner, due to price increases or an overall slowdown in economic activity. I will now turn the call back to Russell to cover our divisional results and to provide some closing thoughts before Q&A. Russell?
Russell Shaller: Thank you, Aaron. Slide 14 outlines the fourth quarter financial results for identification solutions business. IDS sales increased 9.6% to 253.2 million, organic sales in our IDS division are once again very strong up 10.8% versus the fourth quarter of last year. And on the cost side, our focus on efficiency and pricing lead to 140 basis point increase in segment profit as a percent of sales when compared to the fourth quarter of last year. We're definitely experiencing ongoing inflationary pressures. However, we're driving automation inefficiencies and increasing prices where feasible to offset as much of this inflation as we can. Segment profit as a percentage of sales was 19.8%, which was up from 18.4% last year, if you exclude amortization expense, and the non-routine charges from Q4 of '21, and segment profit as a percentage of sales would have been 21.3% this quarter, compared to 20.8% in last year's fourth quarter. Regionally, sales in Asia were strong despite periodic lock downs in China. Asia organic growth was approximately 10% this quarter. In Europe, our organic sales are also up approximately 10%. Our European team did a very nice job driving sales growth while managing their cost structure. And the Americas performed well with organic growth in the upper single digits this quarter. We've been working hard to secure the critical parts we need to manufacture our goods and meet customer demands. However, there are still components that we've been unable to obtain in the desired quantities, which have delayed some of our initiatives. For instance, sales at our recent acquisition CodeCore were effectively in line with our initial acquisition business case. But we were forced to slow down some of our expansion plans due to a limited supply of certain chips. We're starting to see improvement in component availability. And of course, the team is committed to continue to work through these supply chain challenges, while providing outstanding customer service to our core markets and customers. Our commitment to R&D remains a top priority to drive future growth. We're making solid progress on enhanced software package for our track-and-trace product suite and then developing more rugged versions of our code and Nordic ID scanners to meet the exacting demands of our industrial customers. Earlier in fiscal '22, we launched the M211 printer, which continues our steady stream of upgraded industrial printers. This new printer is the size of a large tape measure can be clipped to your belt and allows you to design, preview and print labels all from your phone. This tough printer supports both Android and Apple mobile operating systems to deliver customized print solutions based on an embedded base of over 14,000 symbols and 22 barcode, QR code types. Plus, this compact labeler allows you to print over 300 labels on a single charge and still weighs only 1.2 pounds. These are the types of products that continue to set Brady apart from our competitors. We're innovating throughout Brady and bringing solutions that our customers want and need. These products demonstrate Brady's ability to engineer high performance printers and materials for a wide range of applications. Our expanded new product lineup investments to drive sales and our expansion into faster growing industrial segment gives us confidence that will continue to generate strong organic sales with healthy margins for years to come. Moving to Slide 15, you'll find a summary of our workplace safety financial performance. WPS declined 5.7% this quarter, solely due to significant appreciation of the U.S. Dollar versus the euro and the pound. If you strip out foreign currency, our WPS business had organic sales growth of 3.3% this quarter. Profitability also increased nicely, growing from 5.6 million in Q4 of last year, to 9.3 million in the current quarter. Looking at our WPS business geographically, we saw continued strong organic growth in Europe, with organic sales increasing in the mid-single digit percentages, and continued strong profitability as the business shifted back into more sales of core workplace safety products and fewer COVID related products. Our business in the U.S. is where we historically struggled. However, these are also businesses where our team has been making the most progress. We've been focused on a three-pronged approach. First, we're simplifying the business through SKU optimization, with a focus on identifying SKUs that provide the most value to our customers. Second, we're ensuring that our pricing reflects market dynamics and customer expectations. And lastly, we're driving efficiency and reducing overhead costs, including personnel and catalog distribution costs. While we've been able to control costs, and nicely improve segment profit in the U.S., our growth rate continues to trail industrial distributor peer companies. With our new focus, the foundation of our WPS business is improving with a number of key brands in several businesses that have been performing quite well. And our internally produced custom solutions provide significantly more value to our customers than the simple buy and resell items. Looking ahead, we'll continue to drive profit improvements. And we'll look critically at our product portfolio even if it means walking away from unprofitable or marginally profitable SKUs and product offerings. The WPS team did a nice job this quarter and finished the year strong. We're confident that we're on the right track, as you can see from our significant increase in profitability, but we still have more work ahead of us. Brady performed well this quarter and we clearly have positive momentum building across the entire organization. Brady is in an enviable financial position, fiscal 2021 and fiscal 2022 were both record EPS years, and we're once again guiding to another record year in 2023. With our ability to generate strong cash flows even during the pandemic, we have the ability to continue to invest in research and development, geographic expansion and improve our capabilities while shifting a portion of our portfolio deeper into improving our customers automation journey. With these initiatives, we expect to have a tailwind for years to come as companies work to shorten their supply chains, increase automation and drive efficiencies. With that, I'd like to start the Q&A. Operator, would you please provide instructions to our listeners.
Operator: [Operator Instructions] And our next question comes from George Staphos from Bank of America. Your line is now open.
Cashen Keeler: Hi, good morning. This is actually Cashen Keeler for George this morning. So first off, I guess now that we're only one month into the quarter here, can just give us an update on how things are trending thus far.
Russell Shaller: Yes, August is really with Europe. And I would say people on vacation, it really is too short of a month to provide much commentary or trending. So we usually feel like we don't know how the economy is headed until late September, October.
Cashen Keeler: Okay. Fair enough. And then, I guess you had a nice pickup in gross margin this quarter. And it sounds like you had a positive price cost dynamic. So just looking at the fiscal '23, do you expect to remain positive on price cost or just what's embedded in guidance on that front?
Russell Shaller: Yes. Obviously, we provided the guidance as looking forward. We had I think a fantastic Q4. But if you look at Brady's performance over several quarters, even pre-COVID, there is a fair amount of variability in our gross profit margin. I think 50.4 is pretty much a high watermark for us. And it was we had a very favorable mix and product conditions. I wouldn't expect continued growth over that type of figure.
Cashen Keeler: Okay, understood. And then I guess on R&D, again, there's been pickup there, obviously a function of acquisitions and building out the track and trace. But I guess, is there any kind of normalized level or range, we can expect moving forward on that front?
Russell Shaller: Directionally, we feel around 5% of our sales is a comfortable and manageable R&D. So R&D will continue to grow along with the corporation's growth. So it's not stabilizing at a certain dollar figure. I think it's more a percentage of our revenue.
Cashen Keeler: Got it. Understood. That's helpful. I'll turn it over.
Operator: And our next question comes from Keith Housum from North Coast Research. Your line is now open.
Keith Housum: Good morning, guys. Appreciate it. Russell looking at the WPS [indiscernible], the 13 percentage in change, is the best that I can remember in several years. In your viewpoint, how sustainable is that? And is there an opportunity to grow from there? Or should we expect some volatility?
Russell Shaller: I think what we really need to be focused on WPS is the combination of growth and profitability. We feel pretty comfortable that we can ratchet up the profitability. But if you look at the figures in the U.S., the growth definitely lagged peers. So we're still looking at what's the right balance of reinvestment advertising versus overall margin. So, the 13%, I think, given the industry there in puts them peer competitive. It's we need to squeeze out some growth with that same profitability.
Keith Housum: Got it. Appreciate that. In terms of the pricing action, in general, you guys have taken, how far along have -- would you say you guys are learning the process? Because if I remember correctly, you're thinking that was -- your price increases, we're going to lag the raw material increase you guys aren’t seeing? If you guys caught up to that, or you still have some more catching up to go?
Russell Shaller: Yes. Obviously, there's a few outliers in our raw materials. But for the bulk of the products, we definitely caught up. There's still some, I would say, unusual pricing in the semiconductor market, where you're seeing some vast purchase variances to be able to acquire some scarce chips. Obviously, our pricing hasn't fully captured that nor is it likely to because we think some of those premiums are going to be short lived. And most companies I think that are acquiring semiconductors have chosen to absorb those temporary costs into their portfolio.
Keith Housum: Okay. Appreciate it. And then, a follow-up question for me on gross margins. I guess the gross margin recovery from [indiscernible] levels was probably a little bit quicker than anticipated. I noticed you said in a product mix was definitely one of those components. Do you expect gross margins to be roughly in the same area going forward?
Russell Shaller: Again, if you go back over the quarters, there is a decent amount of variability in our gross margin. So I'm not going to hang my hat on another 50.4. I do think we had, again, a favorable mix and a favorable set of conditions. So I'm going to say that, certainly our guidance is a little bit lower than that type of figure. With the understanding that given, we have some very high gross margin products and some very low gross margin products depending on what the mix is you can see, 100 basis points of variability.
Keith Housum: Great. And amazing, I will sneak one more right here. I know in years past some of your smaller businesses in terms of the OSHA posters and things of that nature kind of trailed off during that pandemic. Have you seen any events of a business recover here?
Russell Shaller: Yes. It is definitely much better than it was a year and a half ago, for obvious reasons. It caters opportunity with business caters to small businesses, which were most affected by those shutdowns hasn't fully recovered to pre-pandemic levels. Absolutely not. There's still in the small business segment, there's still a lot of pain in recovery that needs to happen.
Keith Housum: Great, thank you. Good luck.
Operator: And our next question comes from Steve Ferazani from Sidoti. Your line is now open.
Steve Ferazani: Good morning, Russell, Aaron, thanks for all the color on the call. I do want to dig back into that 13% operating margin and workplace safety to us that was quite a surprise. I mean, I'm going back eight years, and I think you've only up 13% in that margin, maybe one year in eight years. So clearly, there's more going on here. And I would have thought it would be shrink to grow. But even if that you were growing top line minus FX mean, can you give us a little bit more detail how you're getting to that number that quickly?
Russell Shaller: Yes. So that business is very reliant on advertising and traditionally print catalogs. So one of the things that we can change pretty quickly and did was to shift more emphasis to digital, which is less expensive, all things being equal than catalogs. That was part of it. Part of it was also that they took costs out of that business operating costs, which improved the profitability. And lastly, we've moved to a more I'd say, market-based pricing. And so some of the things that we've done, have helped us. So I wouldn't point to any one of them as the major drivers, the three of them put together, help to do the improvement. But again, what we really need to see is yes, they did grow, but not as fast as we would like to see. So the recipe for us is, those kinds of profits, but industry growth at the same time.
Steve Ferazani: But how are you doing this two elements here, right, which is if you're trying to move away from the resale model, right? I mean, you're trying to grow, but you're also trying to cut some stuff out, right?
Russell Shaller: Correct. So when I mean grow, there may be an additional sales decline, I'm not going to project one way or another. But, it's really the recipe of how we can best resonate with our customers in this particular channel. And like I said, I think the team has done a tremendous job, particularly in Europe, in really focusing and making sure they're in tune to the dynamics of both in market and their customers. But with that said, I think there is still room for improvement. And we're looking at ways where we can improve the overall relevancy of this channel.
Steve Ferazani: Fair enough. Thanks. And if I can turn to ID solutions, obviously, you're finishing up a really, really strong year. Having said that, even if I back off, back out the FX, it looks like there was a little bit of a sequential pullback there. Are there certain areas where you're seeing a little bit of slowing or was there some seasonality?
Russell Shaller: A teeny bit of a seasonality. Traditionally, Q3 is really, really strong and you start to see some tail off in our Q4. As people start to head into vacations and what have you. I think we're still very concerned about European energy prices and whether that will be a constraint. So far, the U.S. market seems to be holding up very well. And we just have our fingers crossed that we'll continue to see these trends going through into the coming year.
Steve Ferazani: Okay. And then if I can get one in on cashflow. Aaron, I may not have heard this right, it sounded like you said Q1 would be lower than traditionally some timing element and then Q2 stronger, can you just give a little color on that, because I might have missed it.
Aaron Pearce: No. You absolutely heard it correctly. The timing of our annual bonus payments is shifting from what it was historically, the second quarter of the year, into the first quarter. So you'll see a slightly weaker Q1 and a slightly stronger Q2 all as a result of the timing of the bonus payments.
Steve Ferazani: Okay. And couple more on that. One is, for obvious reasons, you want every other company have to build up your inventory, given supply chain constraints. And component shortages. Any thoughts on when that might start reversing? Because you had I mean, there has been a pretty substantial inventory build, which has affected cash flow.
Russell Shaller: Yes. So all things being equal, we're carrying, I'm going to say normally $40 million to $50 million more inventory than we would historically like, that's proven to be with supply chain issues of great investment the carrying costs of something like that, or a few million dollars. But it's enabled us to make sure that we don't stock out, and we've been able to sell throughout the last several quarters. We are and continue to look at how we can draw that down as freight becomes more predictable. And our supply chain becomes more predictable, that will definitely come down. One of the ironies in it, though, is, last year, we were shipping air, which is something we really prefer not to do, that's a very expensive way to ship our products. As we convert from air to sea, it actually drives down our costs substantially. But you wind up now, you pick up nominally six to eight weeks in transit, for inventory. So that pushes your inventory numbers back up. So from an operating perspective and operating margin of being able to move from air to sea, is absolutely the right thing to do. But at the same time, you're going to see an uplift in inventory very specifically due to that. I know this a long winded answer. I'd love to say we're going to peel off 10 million in the next quarter, but we're not quite there yet.
Steve Ferazani: Fair enough. And then, last one is on the share repurchase, how far along you are on the current authorization and whether there's any share repurchases built into that guidance?
Aaron Pearce: We have very little share repurchases built into our guidance. We had a 100 million authorization back in May. Of that $100 million of purchases, we have $85 million remaining today.
Steve Ferazani: Okay, In terms of how you're thinking about capital allocation next year, anything you can offer?
Aaron Pearce: We have basically the same philosophies that we've had and continue to have, which is first and foremost, continue to invest in our organic growth engine. So think R&D, sales, geographic expansion, et cetera. At the same time continued to increase our dividend. Russell mentioned our dividend increase this year as well, 37th consecutive year. And then, we still look at buybacks and acquisitions the same way that we always have. Acquisitions must have strong synergies, they need to make sense. We typically don't look at just straight direct competitors. We look for acquisitions that bring some form of technology to the table that will drive Brady forward. And then of course, buybacks, we look at it in an opportunistic manner. We have an awesome balance sheet today, 19 million of net cash at July 31. So very enviable position to be in. So we clearly have dry powder. And when we look at the buybacks, the price needs to be right. And that's comparing what we're trading at to intrinsic value. So pretty similar philosophies that we've had in the past and a great balance sheet to execute it.
Steve Ferazani: Great. I know that was a lot of questions. Appreciate all the detailed answers. Thanks.
Operator: Thank you. And I am showing no further questions. I would now like to turn the call back over to Russell Shaller, CEO for closing remarks.
Russell Shaller: Perfect. Thank you. Thank you all very much for your time today and for your thoughtful questions. We live in a highly uncertain world. But Brady is a business that is well positioned to thrive, regardless of which direction the economy has. We're changing our portfolio to faster than GDP growing company with an increasing foothold in faster growing and markets. Our pricing and efficiency actions are improving our gross margins, our IDS division continues to perform extremely well. And the actions we've taken to improve our workplace safety business are also working. We're aggressively investing in R&D to ensure our products exceed our customers' expectations. And finally, we have a strong balance sheet, which enables us to keep investing in both organic and inorganic growth, while also returning funds to our shareholders. Our balance sheet and strong cash generation make Brady a safe port from future market turbulence. Even though the future of the macro economy is uncertain, I'm optimistic about our future. Thank you for your time this morning and you may now disconnect the call.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.